Operator: Good afternoon, and thank you for standing by, and welcome to the Eventbrite Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to pass the conference over to Ms. Katherine Chen, Head of Investor Relations. Katherine, please go ahead.
Katherine Chen: Good afternoon, and welcome to Eventbrite's Fourth Quarter and Fiscal Year 2021 Earnings Call. Prior to this call, we released our shareholder letter announcing our financial results, which can be found on our website at investor.eventbrite.com. Before we begin, I would like to remind you that during today's call, we will be making forward-looking statements regarding future events and financial performance. We caution that such statements reflect our best judgment as of today, February 10, based on factors that are currently known to us and that actual future events or results could differ materially due to several factors, many of which are beyond our control. For a more detailed discussion of the risks and uncertainties affecting our future results, we refer you to the section titled Forward-Looking Statements in our shareholder letter and our filings with the SEC. We undertake no obligation to update any forward-looking statements made during the call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During this call, we will present adjusted EBITDA and adjusted EBITDA margin, non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles and have limitations as an analytical tool. You should not consider them in isolation or as a substitute for analysis of our results of operations as reported under GAAP. A reconciliation to the most directly comparable GAAP financial measure is available in our shareholder letter. We encourage you to read our shareholder letter as it contains important information about GAAP and non-GAAP results. And with that, I'll turn the call over to Julia Hartz, Co-Founder and Chief Executive Officer.
Julia Hartz: Thank you, Katherine. Hello, everyone, and thank you for joining us this afternoon. I hope you and your families are staying safe and healthy as we start a new year. We are excited to share our fourth quarter results today and tell you about what we have planned for 2022. The strength of our platform and our strategy were on full display in the fourth quarter. And first, I want to congratulate our team on their incredible performance. We more than doubled revenue year-to-year and grew sequentially for the sixth consecutive quarter. We transacted over 22 million paid tickets and nearly 50 million free tickets for our creators. It's been truly inspiring to see how our passionate creators have persisted and how we can help them be even more successful. As we move past the recent variance, business conditions are improving and we're well positioned to help creators capture the growing demand for live events. I'm proud that we have fully reoriented our company around a product-led strategy that allows us to scale and grow alongside our most valuable customers. In 2021, we made exciting progress on our strategy as we supported our creators and the resurgence of live events around the world. Over 650,000 creators used Eventbrite to produce more than 5 million events during the year, setting an all-time record for events on the platform. We enabled creators to transact over 290 million tickets and reach an audience of over 83 million unique buyers. While supporting the surge in activity, we also launched new tools and functionality for frequent creators and opened a critical new growth avenue with our Boost marketing products. We achieved positive adjusted EBITDA for the full year propelled by a 77% increase in revenue and a significant step-up in gross margins and operating leverage. All of this reflects strong and consistent execution by our team. When we strategically refocused on accelerating our self-service platform development and serving frequent creators, we also set a road map for sustainable long-term growth. We've prioritized meeting the needs of frequent creators, our most valuable creators who typically have small agile teams and large loyal audiences. These creators need intuitive ticketing and powerful marketing tools so they can maximize their time spent on creating captivating events that really showcase their passions and skills. The changes we've made to our platform have helped us successfully attract and retain frequent creators. Of all the paid tickets in the fourth quarter, frequent creators sold 67% of them and their paid tickets doubled compared to the same period a year ago. Now entrepreneurial creators like The Green-Wood Historic Fund are helping drive that growth. Green-Wood is redefining what a cemetery can be at the destination by hosting popular walking cores, workshops and concerts to the tune of nearly 500 events in 2021. That's an astonishing 39 events per month, which helped them triple their ticket sales growth in the year. The work [indiscernible] have helped Green-Wood grow and preserve one of Brooklyn's first green spaces. Just like the example of Green-Wood, we're seeing signals that our platform is helping creators grow their businesses. In the fourth quarter, creators had paid event posted just over 3 events on average and nearly 20% increase in average event frequency since the fourth quarter of 2019. Similarly, the average number of paid tickets transacted per event rose for the sixth quarter in a row, climbing 20% over the third quarter. Whether creators are adding events in response to strong demand or creating new events that attract new audiences, we're giving them the confidence and helping them succeed. The accelerating strength of our platform is propelled by a product-led strategy that leverages everything about our scale from our data to our creator community to our investment resources. More than half of our teammates work in development, including engineering, product, design and data science. That's a material shift since the start of 2020 when this team was roughly just 1/3 of our workforce. Investments that we've made in our technical infrastructure and for engineering are enabling greater product velocity. This translated into more than 40 product launches and meaningful enhancements to existing products in 2021, setting a new benchmark for future performance. And we're working on further enhancing areas like navigation, checkout and payments that will create an even better power user experience in 2022. I'm also excited to announce that we're establishing a talent hub in India. There is incredible talent in the city and region we've selected, and I cannot wait to welcome our new members to the team in the coming months. So summarizing 2021. Our strategic focus on frequent creators is generating excellent returns. Looking to 2022 and beyond, we see many more opportunities for scalable product-led growth for the business. Our ability to seamlessly combine ticketing, multi-event management and marketing into one self-service platform helps creators manage their businesses and more confidently plan and track their investments. This is critical since many of our frequent creators are small business owners or solo entrepreneurs and their precious time is best spent on creating the content for memorable live experiences. The Eventbrite Boost product is helping to simplify social advertising and lift ticket volume for busy creators. Usage of Boost is growing strongly month-over-month and subscribers have tripled since June. Leveraging our scale and data, we plan to introduce additional Boost features in 2022 to help creators better acquire, engage and retain attendees. Importantly, our expansion in the direction of marketing is relevant not only to creators of paid events, but also to the very large and valuable community of free event creators who rely on our core ticketing capabilities. In fact, since we launched an upgrade to Boost e-mail marketing capabilities, more than 20% of new subscribers have been creators of free events. This is just one example where our strategy and our marketing tools road map will expand our opportunity to serve creator needs. Another opportunity we'll begin to address in 2022 is demand generation for creators. Eventbrite-driven tickets made up 24% of total free and paid ticket volume for 2021, and we see many opportunities to become an even stronger demand generation partner by putting the right event in front of the right audience at just the right time. Eventbrite is still in the early stages of our long-term strategy, and we're more encouraged than ever to achieve the full impact of our plan. Our improved financial results proved that we can operate effectively in any environment while supporting our creators and remaining focused on our goal to make the best live events platform for their needs. And our team is excited and motivated to roll out innovative new products and engage with our reaching community as we help creators power live events in 2022. On behalf of the entire Eventbrite team, we thank our creators, our employees and our shareholders for their unwavering support as we enter the next exciting phase of our journey. We look forward to updating you on our progress in the coming year.  And with that, I'll now turn the call over to Lanny.
Charles Baker: Thank you, Julia. Our fourth quarter and full year results demonstrate not only the merits of our strategy, but also the strength of our execution in a very demanding environment for the live events industry. Fourth quarter revenue of $59.6 million was up 124% year-over-year and 12% sequentially. Gross margin was 66%, a new quarterly record, up 15 points year-over-year and 7 points higher than we achieved even on our highest quarterly revenue prior to the pandemic. Adjusted EBITDA was $4 million for the quarter, a 7% adjusted EBITDA margin. Excluding the impact of nonroutine COVID-related items in the prior year, fourth quarter adjusted EBITDA improved by $12 million year-to-year on a $33 million increase in revenue, which represents a 36% flow-through of incremental revenue to the adjusted EBITDA line. As of year-end, our balance sheet showed $634 million in cash and cash equivalents with Eventbrite's net liquidity at $368 million compared to $332 million at the beginning of 2021. Our performance across 2021 is a great testament to both our external opportunity as well as our internal performance. The progress we've achieved places Eventbrite in an exceptional position to pursue the rest of our strategy, which means going beyond the leading self-service ticketing platform to become a ticketing sales engine for frequent creators and their amazing live content. Having reset our strategy and our business model in 2020, Eventbrite is today a different company than we were just a couple of years ago. We want to ensure that we continue to provide the most clear and relevant data that helps the financial community understand our performance. Accordingly, I would like to call attention to the supplemental slides we posted to our IR website today, alongside our shareholder letter. I don't think it's lost on anyone that the engine of our growth and the core of our revenue model is an exact match to our creators' business model. How many events, how many tickets and how much revenue per attendee? Surrounding that central equation of creator economics, the Eventbrite business model has 2 additional gears. How many creators do we serve and how much do we earn in exchange for the value we bring to our creators' operations and success. So creators, events, tickets, ticket prices and take rate, that's our formula. With that in mind, we're providing additional metrics today around paid creators, paid events and gross transaction value, not just for the current quarter, but also for all quarters back to the start of 2020 when we adopted the frequent creator-focused product-led strategy and self-service operating model we have today. We plan to provide these disclosures consistently going forward and encourage you to reference the slides as we discuss our results. Our starting point is attracting and retaining creators, particularly frequent creators. In the fourth quarter of 2021, 141,000 creators transacted paid tickets on our platform, a 61% increase versus a year ago and 7% more than in the third quarter. The ubiquity of our platform and the return of in-person events fueled healthy creator acquisition across 2021 and innovations in our products have corresponded with improved frequent creator retention. We are pleased to see the strong recovery of creators since the onset of the pandemic. Our paid creators troughed to 55,000 in the second quarter of 2020, and we're optimistic about growth in our creator community going forward. For context, our prior quarterly peak in paid creators was just over 200,000. And as global health conditions improve and we make progress against our strategy, we expect to reach new heights in coming years. As you will also see in the new metrics table, there were 458,000 paid events transacting on our platform in the fourth quarter of 2021, up from 365,000 in the final quarter of 2020. Compared with the third quarter, we saw a modest decline in transacting events, even as our creator counts continue to grow. We believe this reflects a natural adjustment by creators to reduce event frequency in response to near-term consumer behavior and demand. One way to gauge the attendee's sentiment in the fourth quarter is to look at paid ticket volume for Halloween events where we set an all-time record by a considerable margin versus the New Year's eve event, where paid tickets were well below what we normally would have expected. As the Omicron variant spread across our key markets in the fourth quarter, we saw paid ticket volume soften after October into November and December and early January. This trend was more pronounced than our typical seasonal pattern and seem to correlate with COVID infection trends as we've seen in prior periods. It's important to note, however, that the impact of the most recent COVID wave was shorter and less severe and we maintained a higher baseline than an earlier cycle. Over a slightly longer-term perspective, we've seen paid events per creator increased by about 35% over 2019 levels, as our strategy has focused on serving the needs of frequent creators and helping them grow their businesses. Another important dimension of creator success is paid tickets per event, which rose 60% year-over-year and 20% sequentially in the fourth quarter. All of that means paid ticket doubled year-over-year in the fourth quarter reaching a new pandemic era quarterly high of 22.1 million paid tickets. Finally, revenue per paid ticket was $2.70 in the fourth quarter, 11% higher than in the same quarter of 2020, primarily due to an increase in average ticket value with an additional increment from a slightly higher take rate, which reflects our strategic emphasis on higher-value frequent creators. Looking forward, particularly over the longer term and across periods greater than just a single quarter, we will continue to execute against the financial gears we've just described, attracting and retaining creators by our product strategy aimed at providing ticketing ease and confidence, especially for frequent creators, supporting audience growth and greater event frequency with marketing products specifically built for event creators that leverage our scale and our live events data and increasing the value we deliver and the take rate we can earn by addressing more operators' needs, for instance, with high-value services such as demand generation. We will operate with a self-service mindset that answers creators' desire for efficiency and which fortifies our own profitability, providing the flexibility and the resources to continue to invest in our platform. Our objective is to make steady gains across each of these levers over time with the view that even modest progress made consistently on each lever can compound to drive very strong and sustainable long-term revenue growth and significant margin improvement for our business. Before I conclude, I want to discuss the business outlook provided in our shareholder letter today. Based on our current outlook, we anticipate that first quarter 2022 revenue will be within the range of $47 million to $50 million, which would represent 74% year-over-year growth at the midpoint of the range. After a slow start to the year, paid ticket volume has improved significantly since early January and trends have outpaced our typical seasonality as new COVID cases in our major markets have begun to recede. Looking beyond the first quarter, we anticipate that paid ticket trends may continue to be variable in relation to rising or falling concerns about COVID. However, there appear to be many reasons to be encouraged, and we have strong conviction about the resilience of our creators and the long-term growth of the live events industry. Over the past 2 years, we have demonstrated an ability to operate effectively in just about any kind of environment. And as we look forward today, we gathered further confidence from our strategy and financial strength. With that, I'll turn the call over to the operator for the question-and-answer portion of the call.
Operator: [Operator Instructions]. Our first question is from Ryan Sundby of William Blair.
Ryan Sundby: Maybe we can just start there was a lot there, I think you went through. But circle back to the comments in the script there. Within the quarter, it sounds like growth slowed as I think we all would have expected, as Omicron emerged. Is there a way to help us think about the magnitude of the slowdown you saw either month by month or peak to trough? And then can you roll that forward into the first quarter guidance? As we look at that 20% or so of sequential decline, what are you baking in there? And then again, it sounds like you've already seen some recovery, but how quickly do we think about total coverage in there?
Charles Baker: Sure. Thanks, Ryan. Yes. I think the improved disclosure or expanded disclosure really is designed to help folks understand the gears that drive the business that we're pushing with all the product work and really well, I think, compound over the coming years. Let's focus in just on the short term like you asked about. I would say the fourth quarter -- October was a great month. As we said, Halloween was well above anything we've ever seen before, kind of record levels. And that was sort of reflective of the strength in October. But then you had the health situation externally changed pretty dramatically and pretty quickly as we all know. So that normally, we would be down from October to November in the teens, maybe we're in the high teens sort of October to November in terms of seasonal decline. December, we were also maybe 5 to 10 points steeper decline from November to December than normal. And so what that meant for the quarter overall was that October was really strong, end of the quarter a little bit weaker. The overall quarter was fairly consistent with our expectations. Remember, we said we thought revenue would be up for the quarter, paid tickets will be up sequentially for the quarter. No, pretty nicely. But that seasonal -- that sort of COVID-related seasonality that we saw also meant that we ended the year and went into early January pretty far below where we normally would expect to be. So January started below December. Normally, January starts out kind of even with December as the COVID environment was still really clearly weighing on ticket-purchasing activity. By the time we got to the later weeks of January, that started to change and things have really accelerated. As we've said now for really, I guess, like 1.5 years, maybe 2 years, it's not that difficult to figure out that when the COVID environment looks more threatening, consumer-purchase activity for live events tends to piss this often. And when that environment starts to feel a little bit safer and move behind us, people get really excited about getting back together and going out to live events, and that's exactly what we're seeing right now. So that's what feeds into our outlook for the first quarter. We would expect to end the quarter stronger than the start. But as we said, things can be variable based on the external environment.
Ryan Sundby: Got it. That's really helpful. And I guess we already saw that in the Q1, it's setting up the year as traders started to plan out the year and then put on events and plan them out. Does this impact you beyond kind of the current wave in terms of delayed scheduling and delayed planning? And so do you see a carry-on impact from this? Or as cases come down, do you think you kind of fast-track back to where it have been?
Charles Baker: Well, I think that we are learning about some new seasonalities in our business and then just kind of in the world. But it's hard to predict that. In the past, you're right that our pre-COVID revenues tended to be pretty evenly split across the 4 quarters of the year. Clearly, as you look at the numbers that we had across the course of 2021 and even 2020, as the COVID environment cleared, our year was really back-end loaded as we accelerate off a low base. So it's hard to parse through, but I don't think -- from where we are today, the first part of this year was a very different health dynamic than we're seeing right now. You're seeing states lifting mask mandates, you're seeing people being more comfortable with traveling, more of the population is vaccinated. So I think all those things are likely to add up to a seasonal pattern that isn't that old typical pattern, but we'll see.
Ryan Sundby: Got it. Okay. And maybe just flipping over to Boost, I mean it sounds like a lot of progress there in the last 9 months, but you're still rolling out new enhancements in the first quarter. Is there a way to help us understand maybe like what inning you're in with Boost and how close are you to kind of -- what you envision that final product to be? Is it closed now or is there a lot of proceed to come?
Julia Hartz: I'll try to speak to that, Ryan. When we look at what Boost is and what it can become, it's really -- we're in the very early days of really building a destination within the product experience that allows for our creators to be able to be just way better, more efficient marketers of their events and to build -- start building stickier relationships with their attendees. And so we launched this product back in May after acquiring ToneDen in the fall of 2020. And we've been really pleased with the power of the Eventbrite [indiscernible] plus ToneDen's automated marketing capabilities and what's that -- what that has offered since we first launched. So subscribers have tripled since June. And in fact, we've had over 20,000 events marketed through Boost since we released our initial iteration of this. We've been on continuous deployment with Boost. So we're rapidly iterating and testing, and we're also expanding the surface area. So just in this quarter, we actually have expanded into e-mail marketing and helped our Boost subscribers be able to send more e-mail campaigns at a lower price and a higher conversion rate, and they get all of that plus the social paid advertising in one marketing hub. So we'll continue to focus on the things that our creators, particularly frequent creators have asked us to do to help them build bigger audiences and convert and retain attendees. And this is really just the beginning. So I'm very pleased with the product and the progress. I think the velocity continues to pick up, and we're listening to our customers and rapidly iterating along the way.
Operator: Our next question is from Youssef Squali of Truist.
Youssef Squali: Maybe just as a follow-up to the prior question, can you first just remind us as to how you monetize Boost today? And maybe you can just flesh out a little bit your product road map for 2022? It looks like 2022 is going to be all about kind of coming up with new ways -- new and novel ways to try to help yourself become that ticketing sales agent for creators that Lanny just talked about. And then I have a follow-up.
Julia Hartz: So Boost is a subscription product that we offer our creators. So you have to be a current creator on Eventbrite to have access to Boost and the focus is really on helping them sell more tickets. What's exciting about the full base of our customers is, as you know, we have a really healthy free business, 50 million free tickets in Q4 alone. And we're starting to see -- especially with this latest release around e-mail marketing in Boost, we're starting to see higher adoption from creators who come to Eventbrite to host free events. And that's exciting because that's obviously a monetization channel that we haven't had before and really gives us the ability to connect the value dots for our creators who are using Eventbrite for free events and help them reach a much bigger audience. In terms of what that means for Eventbrite, we see a pretty healthy rate of sell-through for Boost events. So we're seeing creators who are using Boost. They're selling in the high teens, more tickets on average to these events that they're using Boost for. So today, the product is really split into 2 different vein value drivers for our creators. Today, it's social paid advertising. So essentially, a creator can come to Eventbrite, identify the audiences they want to reach and create dynamic ads that will return on average much greater ROA to them than if they were out trying to do this in one-off fashion on different platforms themselves. The second -- and so our product road map for that is we want to expand the surface area. We want to expand the channels that you couldn't reach beyond Facebook and Instagram to other places where people are discovering live events because it really matches with our demand generation principle of putting the right event in front of the right person at the right time. And we're actually converting that now into this marketing capability for our creators. The second is we want to give them other ways to engage more deeply with their attendees. And beyond a more efficient and effective advertising program, our creators really wanted us to help them send more effective e-mail marketing, be able to reach a bigger audience through their e-mail campaigns and see a high conversion from that e-mail marketing. So that's what we're focused on right now. We released the ability for Boost subscribers to be able to send up to 6,000 e-mails a day, which is a really big number for our customers and opens up an opportunity for them to be running higher volume campaigns with their list of customers. And you could imagine, though, as we go farther down that road, we'll make it easier and much more intuitive to be running different types of campaigns at the same time. We'll be able to help them combine the efficiency of that social advertising with the e-mail marketing. And we'll also give them a tool set to be able to reengage attendees as they're building more and more community around their events. And I think that when we look further out, we're really curious about how we can turn what we've learned through Boost into more power for our own demand generation. Today, Eventbrite propelled over 25% of all the tickets that are transacted on the platform, which, if you look at just the paid volume, it equates to over $500-maybe million in gross ticket sales last year alone. And we think that the signals that we're getting from our ability to match the right buyer to the right seller gives us an opportunity to look at things in the area of demand generation like promoted content.
Youssef Squali: That's super helpful. And just to be clear on that last point, today, you are not charging for all the traffic that -- and those customers that are acquired through the Eventbrite site. Correct?
Julia Hartz: That's correct.
Youssef Squali: Right. Right. Is there a chance that, that changes by year-end?
Julia Hartz: Yes. I think it's too early to give you a finite answer on that. But what we are looking at how we can deliver that same amount of value to drive up the number of Eventbrite-driven tickets on the platform as well as monetize the value that we're delivering to our creators through this program.
Youssef Squali: Got it. That's helpful. And lastly, just very quickly for Lanny. So congrats on sustaining EBITDA profitability through the quarter and for the year now. The question is do you sustain it going forward?
Charles Baker: Well, as you've seen, there's a lot of operating leverage in the model. We have -- they're sort of an inherent dynamic with the gross margins, which have been moving up pretty nicely. And that reflects both our growing scale and changes we've made to the cost to revenue and the way we're managing all the different costs within that line. So there's a tremendous amount of leverage still to be had points of margin expansion on the gross margin side as we talked about. We think that number can get into the high 60s, close to 70% just in the ticketing business. From an expense perspective, we've been, I think, very prudent about managing expenses during the last couple of years. We've tried to plow as much resources and investment as we can into the thing that really is the locomotive of our business, which is our product and our development teams, and we'll continue to invest there. You can see in the fourth quarter, there was a pretty hard year-over-year increase in the product and development expenditures. We're coming off a couple of quarters of really sky high incremental profitability, used that as an opportunity to invest aggressively to expand the team and set ourselves up for the road map we want to deliver in the coming years. So we're not going to stray away from a self-serve model. We're not going to move away from our commitment to being in the long-term adjusted EBITDA profitable driver of value for shareholders. We're going to invest aggressively in the product to drive growth. So I think you'll see more of what you've seen so far.
Operator: Our next question is from Cameron Perrone of Morgan Stanley.
Cameron Perrone: On the conversion tracking feature of Boost that you guys talked about, could you talk about what kind of adoption you've seen or uptake from you've seen that from the creators who have been using the social media advertising? How many of those advertisers are starting to engage with those measurement tools? And then staying on the product side, but moving beyond Boost, you provided some interesting color on in terms of the product pipeline in 2022 and wanting to kind of focus on enhancements and things like navigation, automation, reporting. As we look at those kind of non-Boost-related product focuses for next year, for this year, rather, can you talk a little bit about priorities amongst those?
Julia Hartz: Yes, Cameron, and welcome. It's great to meet you. So on the converting -- on Boost and the conversion tracking, what we've seen so far is over 20,000 events being marketed through Boost. And we're not quite yet at the point where we want to share our subscriber number, but I'm really pleased with the adoption rate. And when we do things like release new features that our creators are asking us to offer them in order to boost their marketing, the kind of intended like e-mail marketing, we see a really nice uptick in new user adoption. And so we're continuing to focus on not only making it easier and more intuitive to use these tools within the Eventbrite Boost broader product, but also obviously on supercharging subscriber growth. And what's exciting is that it's built specifically for frequent creators. So it's something where we're not only offering them greater efficiency, but we're helping them build audience for a series of events that are sort of as you think about it always on rather than just episodic. And so that's a really nice part of Boost as well as the fact that it reaches the free creator user base and helps us monetize our previously unminus monetizable large portion of our customer base. On the non-Boost side, think about Boost as being the new investment area where we're doing rapid iteration testing and investing a lot in the future vision of what it can be. The core ticketing engine is something that is in like hyper automation or optimization mode. It is the engine of growth for Eventbrite, and it can be expressed in the gears that Lanny talked about in our new disclosure. So what we're looking at there is focusing on 2 areas that are really key for our creators in our core ticketing business. The first is efficiency. So how can we help them save more time, especially frequent creators who are constantly on the platform and give them back time to focus on creating awesome content for their live experience, and that really is foundational for us. So it's about making that shift to a multi-event management platform that's intuitive, that's fast and that's reliable. The second area of opportunity for us is how do we help them think differently about just marketing and promoting their events beyond -- even just beyond Boost. So as we think about the reach that they have by publishing their event on Eventbrite is really where you start to see the demand generation engine take -- start to take hold and making sure that our creators know which tools they should be using when and how to use those tools is paramount to our success. So we measure our success through the metrics that we've shown you in the revenue model. And it's -- the area of growth for us in core ticketing really comes from continuing to optimize each and every touch point that our creators have with the platform so that they can get going as quickly as possible and be as successful as possible. And the final thing I'll say is in terms of investment there, we are investing continually on the core infrastructure to make Eventbrite more performant and more reliable and to be able to scale with these surging demands for live events. We are also focusing more and more on new feature development and product enhancements that go straight into the pocket of our creator and that product velocity has really picked up since last summer. So we shared over 40 meaningful product enhancements and features have rolled out to our creators, and we're just getting better and better at that.
Operator: Our next question is from Dae Lee of JPMorgan.
Dae Lee: First one for you, Lanny. I think you talked about demand progressing significantly towards end of January. Curious what you're seeing on the event creator side and the number of events that you're creating right now seeing that in average paid events per creator does account in 4Q. So I was just wondering how that's trending so far in 1Q. And to the extent you have visited into how the event -- now it's going into the peak season of 2022? I appreciate hearing that as well. And then in terms of the take rate, your take rate did improve to close to 8% in 2021 versus approximately 7% in 2019. So I was just wondering if that's more of a factor of more of your creators signing up for higher-value packages or if there's anything else working that and how we should think about that going forward?
Charles Baker: Sure. Thanks, Dae. In the shorter term, the model seems to be more driven on the demand side, i.e., if there's -- when there is strong demand from consumers, they're buying events quickly, the creator sense that, we advertise, we promote or let them know about that and the strong consumer appetite for events leads to an increase in frequency. And they'll -- many creators have kind of a per event capacity. And if they start selling that capacity quickly, they'll add new events to their calendar. We see that all the time. So in a period where perhaps the consumers start to pull in their horns, their creators will sense that. They'll see that. They'll slow down their publishing calendar. As we saw in the fourth quarter, while we were growing the number of creators, we saw a modest decline in the number of events. And I think that really reflected weather change in the consumer demand in the short term. So now we've got consumer demand that's starting to go the other way. One of the things we look at is how far into the future are creators purchasing tickets in an environment where the future looks certain, as you can imagine, the time to event tends to shorten and in environments where people start to feel more confident that, hey, in a month or 2 months, things are going to be good. We start to see a little bit more of an uptick in longer-dated purchases, which has been happening since the start of the year. So I think what we're seeing is a pretty encouraging sign from the consumer demand side right now. We're talking very, very short periods of time. So it's hard to extrapolate that out to the rest of the year. But I would say, from everything we've seen over the last 18 months that behavior does correlate with what's going on in the general external health condition. And it seems like there are reasons to be encouraged about that going forward, and we're seeing some of that right now. On the take rate, yes, we have made some progress. And these are a couple of things as you look to a year ago, 2 years ago, 3 years ago. We talked about the focus on our highest value frequent creators. Those are customers with the greatest LTV. Those are customers who are using the product every day. They are the product -- they're the creators for whom all the product work that we're doing really is most specifically tailored to solve their needs. And as a result, as you can imagine, the customers for whom the product is the best fit, value it the most highly. So as we focused on those customers, they've been able to share with us a growing portion of the value of their events for the work that we're doing on their behalf. So I really think the change we've seen in the take rate over that period of time has been that customer focus. There's a little bit of an effect from average ticket price. There's components of our pricing structure that are fixed, flat fee plus the variable fee. And if the ticket price varies, you'd have -- if the ticket price goes up, you might get a little bit lower take rate because, you can do the math, the fixed piece becomes a little bit smaller and it goes the other way, the fixed piece is a little bit bigger if the variable against the ticket price is coming down. But that's a pretty small effect. And I think really the primary driver has been the focus on the customers that are our core frequent creating customers.
Operator: There are no additional questions waiting at this time. So I'd like to thank everybody for your participation. This concludes the Eventbrite Fourth Quarter 2021 Earnings Conference Call. Have a great rest of your night, and you may now disconnect your lines.